Operator: Good day, ladies and gentlemen, and welcome to our Third Quarter 2011 Mettler-Toledo International Earnings Conference Call. My name is Christie, and I will be your audio coordinator today. [Operator Instructions] I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please go ahead, ma'am.
Mary T. Finnegan: Thank you, Christie, and hello, everyone. I'm Mary Finnegan, Treasurer and responsible for Investor Relations at Mettler-Toledo, and I'm happy to welcome you to the call. I am joined by Olivier Filliol, our CEO; and Bill Donnelly, our CFO. I want to cover just a couple of administrative matters. This call is being webcast and is available for replay on our website at mt.com. A copy of the press release and the presentation that we will refer to on today's call is also available on our website. Let me summarize the Safe Harbor language, which is outlined on Page 1 of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see our discussion in our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the caption "Factors Affecting Our Future Operating Results" and in the "Business" and "Management's Discussion and Analysis of Financial Condition and Results of Operations" sections of our Form 10-K. One other item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and the differences between the non-GAAP financial measure and the most directly comparable GAAP measure is provided in the 8-K. I'm now going to turn the call over to Olivier.
Olivier A. Filliol: Thank you, Mary. Good evening. I'm pleased to welcome you to the call. I will start with a summary of the quarter, and then Bill will provide details on our financial results and I will be update the guidance for this year and the initial guidance for 2012. I will then update you on our growth initiatives for 2012 and as always, we will have time for Q&A at the end. We are very pleased with the results for the third quarter. The highlights for the quarter are on Page 2 of the presentation. Local currency sales growth of 15% was excellent, and I'm particularly pleased with the broad-based nature of the growth. Almost all product lines and geographies showed very strong performance. Despite significant currency headwinds, we achieved a 15% increase in adjusted operating profit and an 18% increase in adjusted EPS. While we are very cautious on the uncertainty in the economic environment, we expect solid growth in the fourth quarter and 2012. Bill will provide more details on our third quarter results as well as guidance. Now let me turn it over to him.
William P. Donnelly: Thanks, Olivier, and hello, everybody. Let me start with additional details on sales, which were $601.1 million in the quarter, an increase of 15% in local currency, obviously a level in which we're very pleased. On the U.S. dollar basis, sales increased 23% in the quarter, which included a positive 8% impact from currency. Turning to Page 3 of the presentation, we outlined sales by geography. In the third quarter, local currency sales increased by 16% in Europe, 10% in the Americas and 21% in Asia/Rest of World. Net acquisitions added 1% to sales growth overall, and 2% in Europe and 1% in the Americas in the quarter. The next slide provides year-to-date results, and you can see that sales increased 14% in Europe, 10% in the Americas and 21% in Asia/Rest of World for the first 9 months of the year. Year-to-date, net acquisitions had a negligible impact to total sales but contributed approximately 1% to European growth. On Slide #5 of the presentation, we outlined sales by product area for the third quarter. Laboratory sales increased by 12% in the quarter, industrial sales increased by 22% and food retailing increased by 2%. Divestitures reduced food retailing by approximately 5% in the quarter. Acquisitions contributed 4% growth to the industrial business during the quarter. The next slide provides year-to-date results. Laboratory sales increased by 10%, industrial increased by 21% and food retailing was up 1%. Year-to-date, divestitures reduced food retailing by 6%. Acquisitions increased the industrial business by 2% for the 9 months. Turning now to the Slide #7 of the presentation, we show the P&L. Let me walk through the key items. Gross margin was 52.3% in the quarter, a 10-basis-point increase over the prior year. We benefited from operating leverage, pricing and operating efficiencies. Offsetting this was currency, which reduced gross margins by approximately 130 basis points. We also had higher raw material costs overall, primarily related to steel categories and some unfavorable mix as well. R&D amounted to $30.1 million, an increase of 6% in local currency. SG&A was $185.8 million, an increase of 17% in local currency. The increase was attributable to higher sales and marketing investments, particularly in emerging markets as well as higher variable compensation. Also in the quarter, we went live with our Blue Ocean program in China. We're quite happy with the successful implementation, especially given the size of our Chinese operations. As a reminder, China is about 16% of our total sales and 30% of our manufacturing. We did incur some incremental expenses associated with the Go Live, and it impacted the rate of growth for SG&A in the quarter. Likewise in Q4, we'll have some additional incremental expenses. Let me talk about adjusting operating income now. It amounted to $98.5 million, which is a 15% increase over the prior year amount of $85.8 million. Currency, largely the Swiss franc versus the euro reduced operating profit by approximately 7% in the quarter. Our operating margins amounted to $16.4 million. The combination of the weak dollar and the strong Swiss franc versus the euro reduced our operating margins by approximately 210 basis points in the quarter. Absent this currency headwind, our margin would've increased by 100 basis points over the prior year, a level which we're quite pleased with. Let me give you a few final comments on our P&L. Amortization amounted to $4.8 million in the quarter, interest expense was 5.9%. Fully-diluted shares for the quarter were 32.7 million. Our tax rate was 26%, excluding discrete items. Finally, adjusted EPS was $2.01, an increase of 18% over the prior year amount of $1.71. We estimate that currency headwinds reduced earnings per share growth by approximately 8% or $0.15 per share in the quarter. Year-to-date, adjusted EPS was $5.34 -- sorry, $5.35, a 22% increase over the prior year. Currency adjusted EPS growth by 8% or $0.35 per share for the first 9 months of the year. On a reported basis, earnings per share was $2.09 for the quarter. This includes $0.03 of purchase intangibles, $0.01 of restructuring and $0.12 for a discrete tax item related to the close out of certain tax years. Year-to-date reported EPS amounted to $5.31 per share. Now let me turn to cash flow. Free cash flow in the quarter was $62.8 million or $1.92 per share. DSO was $40 at the end of the quarter -- I'm sorry, 40 days at the end of the quarter. That's a slight increase over the prior year driven by the timing of sales and some mix. Similar to what we had in the second quarter, our inventory levels are a little higher at the end of the third quarter due to increased buffer stock that we've put in place considering the Go Live we had in China for Blue Ocean. We expect inventory levels to decline during the fourth quarter. Other cash flow items during the quarter, we acquired a European vision inspection company for $19.4 million. Olivier will comment on that in a few minutes. During the quarter, we repurchased 374,000 shares for a total of $57 million. Year-to-date, we've repurchased 1.1 million shares for $171 million. That covers my comments for the quarter, and now I want to cover guidance. Let me start with some overall context, and then get into the specifics of the numbers. First, our business momentum is quite good. You can see it in our sales growth during the third quarter, which was certainly better than expected. We are particularly pleased with the growth being so broad-based, and that we can continue to grow faster than our underlying markets. Second, we'll face a much tougher comp during beginning in the fourth quarter and continuing into next year. This is particularly the case if you look at growth on a 3-year basis. One additional comment as we look at Q4, last year, we had a very strong budget flush benefit late in the quarter. We believe that some of the global economic uncertainty this year will make that different. We are expecting that the budget flush this year will be less than last year and have reflected this in our forecast. Third, while we're quite pleased with the strength of our business, we also know we are not immune to economic weakness. We expect market growth to be less in 2012 than in 2011. Given the overall uncertainty in the global markets, we are alert to further weaknesses in our markets, but to date have not seen signs that a downturn is imminent. With this in mind, we plan some savings initiatives to combat market weakness, and we'd deploy additional programs if markets were to be worse than we anticipate. With that as a backdrop, let me provide some details. For the fourth quarter, we expect local currency sales growth to be in the 4% to 6% range. We will still have a meaningful currency headwind in the quarter with regard to the current Swiss franc-euro cross rate, and that should reduce earnings by about -- or sorry, that cross rate has deteriorated by about 8% versus the prior year. Furthermore, as we mentioned, we also expect some incremental spending associated with our China Go Live. As a result, we expect adjusted EPS to be in the range of $2.75 to $2.80, which represents a growth of 7% to 9%. Without the impact of currency, our adjusted EPS would be in the range of 11% to 13% growth. For the full year 2011, this will result in local currency sales growth of 11% to 12% and an adjusted EPS in the range of $8.09 to $8.14, which represents the growth rate of 17%. Excluding currency, adjusted EPS would be in the range of 23% growth. Now let's talk about 2012. We expect local currency sales to be in the range of 4% to 7%. Currency will negatively impact us a little in the first part of the year assuming current exchange rates, particularly the Swiss franc to the euro. With this sales guidance, we would expect adjusted EPS to be in the range of $9 to $9.30 per share, which represents a growth of approximately 11% to 15% assuming the midpoint of 2011 guidance. While we're comfortable with this guidance given our current assessment of the market, we are also taking steps on our cost structure so we have more flexibility if needed. Specifically, we're implementing initiatives surrounding our Swiss franc cost structure. We would expect these initiatives to take several years to implement, and we would have flexibility to accelerate certain of these actions should the economic environment prove more difficult. As mentioned earlier, if the environment is weaker than expected, additional savings programs as well as reduced variable compensation would help to offset the impact of lower sales. We are currently also evaluating our refinancing options given the low rate and the risk that financing markets could become disruptive. Our refinancing program, as well as our restructuring efforts mentioned above, may lead to onetime charges in Q4 and next year. Such amounts have not yet been determined. Our adjusted EPS guidance is before any such nonrecurring charges. Okay. One final comment. We'll provide details on our Q1 2012 quarterly guidance during our next call, but I did want to note that current consensus assumes a 17% growth rate in adjusted EPS. In Q1, we'll have currency headwinds, strong comps and not yet have the benefit of these cost savings initiatives I referred to above. At the midpoint of our guidance, I would expect earnings growth more in the range of 10% in the first quarter. I thought I would highlight this as I know many of you are making adjustments to your models for 2012 anyway. Okay. That covers my comments and guidance, and I now want to turn it back to Olivier.
Olivier A. Filliol: Thank you, Bill. Let me start with summary comments on business conditions in general. This will equal some of the points Bill just raised with the guidance discussion, but I think they are worth reinforcing. To start, as you can see with our third quarter results, business conditions are very strong. In fact, better than we expected as compared to the last time we spoke to you. Furthermore, it's not just one product line or geography driving the growth, rather it is broad-based. However, as Bill mentioned, we are not immune to economic conditions and are concerned that continued uncertainty in the financials markets could ultimately lead to economic downturn, which would adversely impact our market and our results. We are monitoring our markets closely, and we'll adapt our plans as necessary. We believe we can continue to grow faster than our underlying markets, but feel it is important to be agile in this type of environment. Bill highlighted some areas for cost reductions that we have underway. To the extent that market conditions deteriorate, we would like to accelerate some of these actions. While we believe it is important to closely monitor our markets and maintain agility regarding our cost structure, we want to continue to invest in our growth initiatives. We feel confident regarding our competitive position and ability to capture market share. I will come back on some of the initiatives we have for growth in 2012, but let me first make some specific comments on our business from a product line and geographic point of view. Laboratory had a strong double-digit growth against strong growth in the prior-year period. Virtually all product lines and regions had very good growth as we benefit from our Spinnaker marketing programs and strong product pipeline. We did not see so much growth in our U.S. pipette business, which is our only business with meaningful NIH and academia exposure. Industrial also had excellent growth in the quarter. Our core industrial business did well in all 3 regions with emerging markets benefiting from expansion and new plant sites and Americas and Europe enjoying a strong replacement cycle. The other part of our industrial business is Product Inspection, which continues to deliver strong growth again this quarter. Virtually all product lines and regions in Product Inspection had strong growth our solid leadership positions and favorable market dynamics are driving these very good results for Product Inspection. Food retailing was up mid-single digit on an organic basis. That covers my comments on the businesses. Let me provide some additional information on our acquisition of a European vision inspection company. As a reminder, vision inspection is a part of our Product Inspection offering. We see vision inspection in a similar way to how we saw x-ray a few years ago, an emerging technology that needs to move from customer solutions to more robust standard solutions. Last year, we acquired CI-Vision as a first step in this market. CI-Vision enjoys a strong position in the U.S., with broad capabilities in many of our typical customer segments. In the third quarter, we acquired PCE, a European-based company with a very strong know-how in vision solutions to address the recently introduced Track & Trace requirement in the pharmaceutical industry. We think these 2 acquisitions give us very solid foundation in an attractive segment of the product inspection market. Similar to what we did with x-ray, our plan is to build these businesses into the market leader and a high profitable growing business. Now let me turn to our initiatives for growth in 2012, starting with our Spinnaker marketing program. Recently, we have been refining some of our marketing programs to better exploit one of our most important assets, namely, our existing specific customer base. Our analysis shows that the opportunity to cross sell products to existing customers is significant. As a reminder, we have hundreds of thousands of customers and millions of contacts. Our data shows that penetration rates within individual customers vary widely by product category. We are convinced that through targeted marketing initiatives and enhanced key account management, this cross-selling opportunity can be exploited. For example, we recently performed detailed analysis on approximately 5,000 customer sites within the pharma segment. In more than 50% of these sites, we identified strong untapped potential. We believe this cross-selling opportunity is our next lever for further share gains in our markets. Emerging markets will continue to be an important component of growth in 2012 and beyond, now representing 35% of our sales. We continue to expand our infrastructure in this region to support growth. For example, in India, we recently established an international market support group. The team of scientists provide support in areas such as development of application library that are needed for analytical instruments such as for titrators. The team also does final real time testing for new products that are ready to be launched and provide third-level customer support for more complex customer questions that the local call center needs assistance on. Finally, they also conduct training, both internal and external and installation and qualification of instruments in its remote locations. India has a strong talent pool of chemists with excellent software knowledge, which is well suited for our needs. We will continue to expand this team to leverage the expertise within the group. We are convinced that this effort will pay dividends in terms of improved customer service at an overall lower cost. New products continue to play an important role in our growth initiatives. We have a couple of examples recently of products that are real breakthroughs in terms of technology advancement. Each introduction demonstrates how we continue to be the innovation leader in our market. Let me give you some specific on these products. For those of you at our investor meeting in July, you had a chance to demo our new electronic pipettes, which sets the highest standards for simplicity, performance and versatility. It is distinguished by a state-of-the-art, large screen color interface and a joystick control. It also offers advanced technology features such as massive programming and storage via USB and memory card, secure onboard service data and an RFID for asset management and regulatory compliance. This exciting product meets the ease-of-use expectations of today's iPod and iPad users, while maintaining RAININ's highest standards for accuracy. We're also continuing our 20-plus year leadership in reaction chemistry for drug processes and development. Our new FlowIR enables chemists to screen reactions more quickly and allows process optimization in real time, saving valuable time and money. It's small, portable design can be used with any flow reactor in any lab and can be placed anywhere within the continuous reactor setup, providing for higher quality measurement and control. The unique design of the FlowIR cell enables measurements to be made with very small sample sizes, reducing the materials required to conduct studies and improving user safety when dealing with hazardous or toxic materials. Finally, we'll soon launch a new generation dimensioner for the transportation and logistics industry, which we internally refer to as the shoebox after its ability to provide cutting edge digital technology in a smaller, lighter, faster system, which is a big advantage over the typically bulky dimensioning system. The shoebox increases accuracy in difficult situations at high speed with different shapes and surfaces and in dark or bright settings, providing customers with a high read rate of maximum revenue recovery. Customers can easily configure the scanner to suit any requirements. Other advantages include fewer components, a rock [ph] Industrial design and the in-touch remote service capability. The final topic I want to cover today is sustainability. We believe a sustainable business is one positioned for long-term growth and for us, it defines our approach to decision-making, how we manage our environmental impact and how we manage our relationships with employees, customers and shareholders. We produced our first sustainability report this year, which outlined our Green MT Program, which was launched last year to improve our understanding of how our business impacts the environment. We have gathered data to understand many issues of the global greenhouse gas or CO2 footprint, generating not only by our fuel and electricity use, but also our products and supply chains. We are now working to establish goals, and we'll start to make reductions in these emissions. This includes new ways of managing our vehicle fleet, incorporating new design features in our products, improving the energy efficiency of our buildings and processes and looking at how we sort the electricity we use in our facilities. We think these efforts will produce a favorable impact to the environment as well as potential savings. These efforts are also viewed positively by our customers, particularly those in the areas such as China where this is receiving high attention from customers to government and our employee. That concludes our prepared remarks, and I would like to ask the operator to open the lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tycho Peterson of JPMorgan.
Tycho W Peterson - JP Morgan Chase & Co, Research Division: Maybe first question is we're seeing about 2012, if you could give us a little bit color on some of your assumptions by segment. You seem to be doing pretty well in the academic side, so wondering what your views are on that market. But as we think about your reporting segments, how you're thinking about each of those for next year as well?
William P. Donnelly: Okay. I think at this stage, we would expect lab and industrial to be certainly at lower growth rates in the Western world, okay. And particularly the lab, as you know, percentage-wise compared to the overall MT mix is more weighted to the Western world. If we look at emerging markets, we would expect to continue to be able to deliver double-digit growth, but certainly growth rates less than what we saw in 2011. And as a reminder, emerging markets are highly weighted towards our industrial product categories. Overall, I don't think we would expect to have too big of a dip belt in mix, maybe industrial growing a little bit faster than lab because of the weighting towards emerging markets and because of, also, the mix to food safety with our Product Inspection business.
Tycho W Peterson - JP Morgan Chase & Co, Research Division: Okay. And then as we think about what you saw this quarter, I think for industrial, you said M&A added about 4%. Was that all on the vision inspection side or are you still getting contributions on x-ray from Eagle and some of the other deals you've done?
William P. Donnelly: That would include both.
Tycho W Peterson - JP Morgan Chase & Co, Research Division: Okay. And then Bill, you mentioned some of the initiatives around moving away from the Swiss franc exposure. I mean, is that effectively moving production to new geographies and pushing through additional price increases? Or are there other dynamics there that we should be thinking about?
William P. Donnelly: It's multi-faceted. It's, I think, simple things like in our supplier base, I think there are things that we can do to move away from the Swiss franc. Swiss franc-based suppliers become much less cost-effective compared just going across the border to Germany. And then from a labor cost perspective and some of our other operating expenses, we would expect to also take advantage of cost deltas versus other parts of the world, whether that be other parts of Europe, the United States or low-cost countries. I think to put it in perspective though, the Swiss operation, particularly for the lab business and the Process Analytics business, will continue to be key elements of our key locations for us. And Olivier certainly and the corporate people who are based there will -- that's not changing.
Tycho W Peterson - JP Morgan Chase & Co, Research Division: Okay. And then one last one on capital deployment, any change in strategy there between kind of tuck-ins and buybacks? Any comment there?
Olivier A. Filliol: No. Actually, we feel definitely the same way you have. Actually, I think the PCE acquisition that we just talked about before is a typical example. When we see an opportunity to add an important technology that is close to our core, it's a good one. But typically, these are smaller bolt-on acquisitions, and we don't have any ambitions to go for large acquisitions. We feel actually we have a very strong franchise with strong set up. We don't need to add another big leg to the company. So same strategy, and we are having a rigid process to screen opportunities and then maintaining the good discipline of not overpaying these acquisition opportunities.
Operator: Your next question comes from the line of Jon Wood of Jefferies.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: So Olivier, your top line guidance range is a bit wider than I've ever seen it, and I'm sure that's just a result of the uncertainty out there. But would you say your band is wider on the developed -- is there more uncertainty in the developed world from your perspective than the emerging markets? Can you kind of characterize where the flex comes from in your guidance range or what drives the majority of it for next year?
Olivier A. Filliol: I would tell you a general, quite broad-based. When I look at the developed markets, I would say in particular Europe, and we're in a situation where there is a lot of volatility and it's a little bit difficult to predict. We still have good momentum in Europe, but we are kind of here I'm saying, hey, that could also change. So I would say it's mainly the uncertainty of Europe that drives this bigger range. But of course, also Asia Pacific and emerging markets in general, having the spike share in our mix, we always said that emerging markets have a higher volatility. We are experiencing excellent growth. If I could just take China, we have now 7 quarters of -- consecutive quarters with growth of more than 20%. And we are saying for quite a while, we expect that this will come down and be more kind of to the mid-teens and could even temporarily go a little bit below. Now that emerging markets are that big part of our mix, we need to live also with a little bit bigger uncertainty once it comes and this is for the whole group.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: And what did China specifically do in the quarter, Olivier, and what are you expecting in the fourth quarter?
Olivier A. Filliol: Okay. I think it was 23% in the last quarter in terms of growth, and for the fourth quarter we would be more in the mid-teens. So it is -- we expect a certain slowdown versus the 20%-plus growth that we experienced in the last quarters.
William P. Donnelly: Which is something we've been talking about since this time a year ago that we would expect because of tougher comps and also the efforts that the Chinese government has been making for some time to try to slow down some of the investment levels, tax policy, banking policy, et cetera. So this is something we've been expecting for a while, so that's not a big surprise.
Jon Davis Wood - Jefferies & Company, Inc., Research Division: Okay. Great. Bill, last one on just -- are you planning on a typical Mettler price increase beginning '12? And I know you've got some flow-through benefits from the midyear you did this year. But are you still going to take your typical 1% to 2% January '12? And then also, what have you baked into your numbers for the raw material index for '12?
William P. Donnelly: I guess, 1% to 2% is probably a good answer for both of your questions. And just to highlight though, of course, the 1% to 2% on pricing is on a base of $2.25 billion or something, and the raw materials is something in the $450 million to $500 million range.
Operator: Your next question comes from the line of Isaac Ro of Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: So if we look at some of the big picture questions, we're all looking for answers. I think it's obviously important to look at the growth rates in places like Europe and Asia. But I'm wondering if you could maybe put some color though around receivables, DSO type dynamic on the quarter in China and Europe. Specifically, was there any notable that's going out there in terms of customer base?
William P. Donnelly: Isaac, I'm not sure if we caught -- your reception wasn't so good. I'm not sure we caught all the questions.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Okay. Sorry about that. Just regarding the regional picture, looking past growth rates that you're seeing in Asia and Europe, I'm wondering if you had any discernible trends regarding inventories and receivables from customers in those regions this quarter that is worth highlighting?
William P. Donnelly: Hey, in both cases, we did see some deterioration, but our -- now in China, but our analysis I would fully attribute to the Go Live with Blue Ocean. We clearly built up safety stock for China, and we are a little slow in building out-of-the-box in the first part of -- so I would attribute it to that. If I look at the aging, I don't really see an issue in the aging in China, for example.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Okay. That's helpful. And then another question on just sort of the dynamics you saw in terms of growth globally. I mean, were there any areas where you think you took a little bit of market share at a pace, that would be, above or below what you've done year-to-date? And to the extent that you have -- and some of these new products coming through in the next 12 months. How much of those new products go into your math running share gains and then how that matches up with the growth rate you expect for the business?
Olivier A. Filliol: Yes, Isaac, the way we think about share gains here is we go every year for a few percentage of share gains. We don't think about bold changes in the marketplace. It's not that we are seeing other competitors exiting the market. What we see is that by being very disciplined in price increase and executing our Spinnaker manufacturing, we tend to outgrow the market pretty much across all business lines. And that's also the reason why I wouldn't particularly highlight one or the other business where I feel we did expand our market share gain more than in orders. I would rather attribute it that in some of the businesses, we have a relative market position that is strong in orders. Like in Product Inspection, we have a particularly strong position. We have a very good growth there, and in that sense, that's particular beneficial. But it's not, again, that I feel we won in one business in a dramatic way from a competitor or so.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Very helpful. Last one for me on FX. Bill, if I remember correctly, I don't think we've modeled quite the same FX in the first quarter of '12 that you just outlined there. So could you just walk through a couple of the moving parts, key moving parts there on your assumption? That would be helpful.
William P. Donnelly: Okay. If we look at the Swiss franc versus the euro, and I don't have it in front of me, during Q1 a year ago was at $129 million, okay? And that would compare to a number, like, at today's rate, $121.4 million. So that would be the headwind. And just as a reminder, it's typically, for on an annualized basis, it's about $2 million for every 1%. And of course, during the quarter, it's a little bit less than that. It's certainly less than that, but maybe we actually have the impact a little bit more in the first quarter of the year because a lot of it relates to fixed cost structure, and we have less sales in the fourth -- first quarter as you know.
Operator: Your next question comes from the line of Derik de Bruin of Bank of America.
Derik De Bruin - BofA Merrill Lynch, Research Division: In your EPS guidance, what are you assuming for share buybacks? Is that 10% to 15% inclusive of your normal ongoing quarterly purchases of shares?
William P. Donnelly: Yes. The typical free cash flow plus option proceeds.
Derik De Bruin - BofA Merrill Lynch, Research Division: Great. We're kind of worried about the macro environment. It's like, what do you guys look for in terms of your leading indicators on when you think that something could potentially hit the sand?
Olivier A. Filliol: I would name 2 external ones and 2 internal ones. The external one, of course, manufacturing GDP and PMI are good indicators for the wide range of businesses that we have. And in the internal side, it is what we hear from our salespeople and our country managers. That's always a very good input. And the second one is leads generation. Leads generation is certainly a very early indicator. You can't always take it a one-to-one because if you have an economic slowdown, it's maybe not just leads that slow down but also the conversion of them. But these are very helpful for us to have early signs.
Derik De Bruin - BofA Merrill Lynch, Research Division: Very helpful. On the competitive landscape, I'm just wondering, in the lab products business, have you seen any increased, I'd say, aggressive pricing for some of your competitors that's out there? I'm just -- there seems to be something odd going on in the lab equipment space. I'm just wondering if there are share issues going on, if people are being more aggressive on pricing. Are the customers getting more savvy? What are you seeing in kind of dynamics in some of the pipettes, the titrators in that area? Can you just walk through what you're seeing?
Olivier A. Filliol: In general, I would say not particular. Actually, if I look at a global scale, I wouldn't say that the lab equipment is getting more competitive than any of the other businesses. And when you mentioned for some titrators, so not that all. We have quite a stable position. We are the price leader, and we -- in that sense, I think our disciplined approach to that and not using price as a competitive weapon to win market share prevents also kind of competitors doing things that would deteriorate the whole market. And you mentioned pipettes business, the pipette business maybe in the U.S., we see a little bit more competitive right now because the market was certainly a little bit softer. And because market was softer, it might be something that people are looking to protect their revenue. But that would be the only exception that I would see, and I would even focus that on the U.S. market and not make it a global topic.
Derik De Bruin - BofA Merrill Lynch, Research Division: Great. And then just one final question. Just assuming that the peg, the 120 peg on the franc-euro holds, so how does that flow-through on the margins, Bill?
William P. Donnelly: Positive -- hopefully, it will be neutral year-on-year, maybe a little bit negative in the first quarter, part of the second quarter, a little bit positive by the fourth quarter. The big thing is we won't be chewing on that in terms of year-on-year op growth. As we quoted on the conference call script, the impact in terms of operating profit and earnings has been meaningful this year. I think probably on an annualized basis, the pretax impacts about $18 million or so for the full year this year.
Operator: Your next question comes from the line of Jon Groberg of Macquarie.
Jonathan P. Groberg - Macquarie Research: So I guess I'm just going to talk a little bit bigger picture and think about as we move into '12. From a new product standpoint, what we should expect in terms of you guys coming out with maybe help accelerate growth even if the environment and the comps are tough.
Olivier A. Filliol: Jon, I think 2012 will be very similar to what we have seen in 2011, a continuous flow of new products. If you recall, in Mettler-Toledo world we are dependent on a very wide range of new product launches every year. And typically, customers are taking also their time to really decide to go to the new models. And it's not that if we introduce one new product, we would see a major impact on our revenue. So we are pursuing our normal product launch strategy. You will see some exciting new products next year. But I would say, it's very similar to what you have seen this year. And I think actually in Q3 in particular, we had a very good product launch pipeline, and we will see some benefits now in the next few months but it will not be the most important growth driver overall. It's just a continuous stream that we have here, and helping also further differentiating and distancing from our competition. Our product leadership here is always key to support our market share gains and our pricing leadership that we have.
Jonathan P. Groberg - Macquarie Research: And on the guidance that you kind of gave, a broad guidance for next year, obviously with all the uncertainty that's out there, is that -- would you characterize that as your expectation for market growth? Or is that your expectation for more -- for your growth? And implied in that is, what kind of market share do you think that you can get as you go into 2012?
William P. Donnelly: Certainly, the guidance would be reflecting of our growth. So it would include benefits from market share gain among other topics. In terms of share gain, as Olivier mentioned earlier, it's in the categories in which that's something we can do consistently. We're not talking about big share gains. So it would be tough for me to dissect, but probably if it's 1%, 2%, that would probably not be a crazy number. And of course, you've got some pricing in the range we're providing as well.
Operator: Your next question comes from the line of Dan Arias of UBS.
Daniel Arias - UBS Investment Bank, Research Division: Bill, you talked about emerging markets being concentrated towards industrials. So I guess, with China in mind specifically, can you just remind us how you see the market opportunity in terms of infrastructure expansion versus life sciences or research? And then maybe if you can look into your crystal ball a little bit, what that split might look like a few years down the road.
William P. Donnelly: So maybe we start with a picture of China overall. I think the industrial business is between 60% and 65% of our sales in China, I think our lab business is around 25% or something like that, and what's left over would be our food retailing business. I think it's 5%, 6%, 7% or something of our Chinese sales. So in terms of the growth rate, we probably expect the industrial side to gradually moderate from -- both of the businesses have been growing. The lab and industrial side this year have been growing at 20-plus rates. But percentage-wise, of course, the industrial one is -- accounts for the majority of that growth. We would expect that industrial growth will be the one maybe moderating a little bit due to some slowing in terms of the infrastructure expansion. But there's a couple of initiatives, and maybe I'll let Olivier comment on them, related to growth in western parts of China as well as our efforts to build up our distribution capabilities in second-tier cities, will be sources of growth that should be, relatively speaking, the equivalent of almost market share gains as we expose ourselves to more opportunities in that part of the world. Then the last comment I'd make is that as the Chinese economy focuses more and more on producing higher quality products and invests more and more in healthcare, that clearly benefits our laboratory business as well. And I think if you asked us to look out 10 years from now or something, I think we would expect maybe not to return to our typical Mettler ratio of lab versus industrial, but certainly somewhere between where we are today and where we are now in China. Do you want to comment on the second tier?
Olivier A. Filliol: I think, Bill, you hit the right points. I think there are 2 macro trends that will support this mix change. The first one is the number of scientists joining the workforce, and since we sell particular personalized devices in the lab, that will highly benefit the laboratory business. And the second one is this drive to quality and more measurement points, more quality labs all beneficial to the lab business. So I think we have here reasons why the lab business should in the mid, long term outgrowth our industrial business, and that will lead to this more standard Mettler-Toledo mix that Bill was referring to.
Daniel Arias - UBS Investment Bank, Research Division: Great. That was really helpful. Then on the Eagle acquisition that you made earlier this year, have those operations been fully integrated to production level? Or are you still working through that process?
Olivier A. Filliol: No. That's actually completed. It did go extremely smooth, extremely fast and I'm so proud of how the team executed on that one. We actually integrated that down in our Florida operation, and we could expand our facility just with an adjacency and went extremely smooth. And the whole of Eagle acquisition goes very, very nice not just from an operational standpoint, also from a customer reception standpoint. It's going well, and the market is receiving well this dual-brand approach that we are applying to it.
Daniel Arias - UBS Investment Bank, Research Division: Great. And then just one quick one to finish. On the Blue Ocean program, do I remember correctly that, that project cost on an annualized basis is right around $20 million?
William P. Donnelly: $20 million would be the incremental cost of the project. But frankly, at today's exchange rate that's probably, because most of it's done out of Switzerland, it's probably a higher number, maybe an incremental $25 million. And maybe at this stage of the project, with some of the roll-ins coming out, it might even be $30 million.
Operator: Your next question comes from the line of Richard Eastman of Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Olivier, could you just kind of speak to when we talked kind of post quarter, post second quarter, the core growth rate was maybe the expectation, I think, was more in the 8%, 8% to 9% range. And just delivering the 15%, I mean, is pretty substantial difference. And I'm curious, was it more geography that surprised you positively or is it more end market segment? Because it appears that the lab business and the industrial business both probably performed better than you thought. But I'm curious where the upside came from in the core growth in the quarter.
Olivier A. Filliol: Hey, I would say every business and geographies outperformed expectations. But I would say, it's particularly Europe and Europe industrial that was better. Now that was really nice. On the lab side, we had the Analytical business and the AutoChem business. They did also perform better than we originally expected.
William P. Donnelly: Yes. I think maybe even more so, we had kind of told you guys in Q2 that, hey, we would expect those businesses to grow better in Q3. So we did see the growth rate there accelerate. That was expected but probably happened, to Olivier's point, maybe even happened a little bit more than we expected.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Was the AutoChem and Analytical, were you implying that they were better in Europe or just in general?
Olivier A. Filliol: Well, it's actually U.S. and Europe.
William P. Donnelly: Both of those businesses are Western businesses.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then Bill, I'm trying to do the math here on-the-fly. But when I look at your incremental margins at the EBIT line, excluding currency and the impact there, it looks like maybe they were around 35%? Is that...
William P. Donnelly: Yes, hey, I think -- I do it at the EBITDA line and I get a little lower number than that. And so in addition to foreign exchange, we certainly made some investments. When we're growing at that rate, we're making some investments in terms of marketing topics. And then the Blue Ocean Go Live in China was worth -- I think Mary and I were calculating like 3% or something in terms of incremental margins.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. So you're down closer to 30% or something?
William P. Donnelly: Yes.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then could you just speak to -- Olivier, maybe the CI-Vision acquisition last year and now with the PCE, what does your revenue look like in the vision market in food inspection just roughly?
William P. Donnelly: What did your -- we couldn't quite hear your, Rick. Could you say it again?
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: The combination of CI-Vision with an annualized revenue number for PCE, what is the revenue run rate look like in vision for the food inspection business?
William P. Donnelly: In 2012, we'll probably have $40 million in sales...
Olivier A. Filliol: Close to $40 million and the 2 businesses being in similar size.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And that -- I would presume those are primarily software businesses?
Olivier A. Filliol: No. Actually, it's a combination of that. It has been similar to x-ray. You clearly have a hardware component, and then you have a software that analyzes the picture, the videos and analyzes the outcome basically. So in essence, similar to x-ray. It's always a combination. We always say hardware and software.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. But does the margin profile of that piece start to look a little more of software-ish than hardware?
Olivier A. Filliol: Not particular. Again, I see similarities to the x-ray system. There is also an important material handling part in it. You can imagine these packaging lines are all at high speed, and so you need a special material handling rejects [ph] instruments and topics like that. And so there basically similarities with the core Product Inspection business that we have today.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: I see. Okay. And then just the last question. I think you had mentioned earlier that emerging markets in total were about 35% of sales. What was the growth rate in total? I know you gave China. That's a big piece, but what was the emerging market growth rate in Q3?
William P. Donnelly: 23%.
Olivier A. Filliol: Which is -- 23% is the same as China.
Operator: Your next question comes from the line of Paul Knight of CLSA.
Paul R. Knight - Credit Agricole Securities (USA) Inc., Research Division: The exchange rates on the Swiss franc went against you obviously this year and you, over time, want to counter that with pricing. Can you talk about how that's going in terms of how -- the steps you see in countering that currency swing? How you see -- what will be the steps to counter that currency impact and can you give color to that?
William P. Donnelly: I think that's a multi-faceted part. So maybe providing some context, we will end up this year having about a $18 million headwind in terms of foreign exchange and we had foreign exchange headwind as well in 2010. If we look to next year, there will be some headwind in the first part of the year, but then for the full year, it's certainly digestible. A slight headwind but not too much. Now what we did in recent times to combat that is we've tried to be smart about how we did price increase on our products that are manufactured in Switzerland. And as mentioned on the call, we're continuing to try to look at our operating structures around the globe, look at the ways in which we can be most cost competitive in terms of where we sit certain functions or certain activities around the globe. And we're alert to the fact that the Swiss franc has become more expensive relative to other cost structures around the globe. And we're going to, over the medium term, modify how we do some things. And I think that that's not going to have a sudden impact in terms of 2012, but certainly, we're a company that's always looking about how to improve our cost competitiveness over the medium term.
Operator: [Operator Instructions] Your next question comes from the line of Greg Halter of Great Lakes Review.
Gregory Halter - Great Lake Review: Can you provide what your service business was up in the quarter as well as on the consumables side -- or recurring, I should say?
Olivier A. Filliol: So service growth was 6%.
William P. Donnelly: I don't think it would change, the service or service and consumables.
Gregory Halter - Great Lake Review: So are they both about 6%?
Olivier A. Filliol: Yes.
William P. Donnelly: About 6%, whether consumables are slightly more and slightly less. In total of [ph] 6%, yes.
Gregory Halter - Great Lake Review: And as a percentage of the total, what would those represent? Still around the 30% to 35%?
William P. Donnelly: Around 30%.
Gregory Halter - Great Lake Review: And there's been some discussion about price increases, and I'm just curious whether or not price increases are assessed in this area as well?
William P. Donnelly: Yes, definitely because there's a high labor content in an area like service. We would certainly want to capture service technician salary increases in how we come up with pricing. And then you can imagine in an area like spare parts or consumables, it's more strategic than that. And we're very -- we try to be very analytical in terms of how we push spare parts pricing, whether it's proprietary parts or nonproprietary parts, how well we have that customer locked in a whole bunch of factors. But generally speaking, service and consumables is an area where we have good pricing power.
Gregory Halter - Great Lake Review: Okay. And I know for the first half of this year and at the Investor Day, you talked about the U.S. pipette business. And I'm just wondering if some of the changes that you've made there have taken root and you've seen improvement in that business, absent the academia and NIH?
William P. Donnelly: I think the short answer is yes. It's a really important business for us, RAININ. They had their best growth rate of the year in the third quarter, and given the environment with NIH and academic funding and how I've read some of the -- our peer group company that have bigger exposures to that segment, I would say the guys have done a good job. But it's something that we need to continue to focus on in the pricing area in terms of executing marketing and sales strategies, et cetera.
Olivier A. Filliol: Highlights here. We have new product launches, and particularly this new electronic pipette that we had presented to you at Investor Day got very good receptions in the market and it's actually growing very nicely. So I think there is a combination of things that are going in the right direction here.
Gregory Halter - Great Lake Review: Okay. And on the Process Analytics side, again, from Investor Day, there was a demonstration of a silica sodium detection for power generation. Just wondering what the uptake of that is, that system sale, I guess it is.
Olivier A. Filliol: These are currently focused on sodium, silica will follow. The sodium product is now with selected customer sites in usage. The broad launch has not yet taken place and we will launch -- go step by step. But so far, so good and actually, I think it's really going to be a good product. But don't expect that this is, again, one of these products that would make a big difference next year. This is a gradual development of a new market segment for us, a new parameter that needs to be developed in terms of application knowledge, customer awareness of the product and our salespeople really going after all these opportunities.
Gregory Halter - Great Lake Review: One last one on capital spending. What your thoughts are for 2011 with a couple of months left here, and then for '12, any early indications?
William P. Donnelly: Yes. I think we're going to finish in the $95 million range probably for this year, and probably that's not a bad starting point for next year.
Operator: There are no further questions at this time. I will now turn the conference back over to management for any closing remarks.
Mary T. Finnegan: Thanks, Christie, and thanks everyone for joining us today. Of course if you have any questions, please don't hesitate to give us a call. Goodnight.
Olivier A. Filliol: Thank you, and goodbye.
Operator: Thank you, again, for participating in today's conference call. You may now disconnect.